Deborah Honig: Good morning, everyone. Thanks for joining us today to discuss Microbix’s Q2 Results, which they posted this morning. With me, I have Cameron Groome, CEO, Ken Hughes, COO; and Jim Currie, CFO. I think the format will be just a bit of an overview of the quarter and then Q&A, of course. So any questions, feel free to put them in the Q&A box at the bottom of your screen. Alternatively, you can e-mail them to me at deborah@adcap.ca. And we may not work off a presentation today, but just so you’re aware, this session will contain forward-looking statements. You can find more about those on the company’s presentation on their website, which we’re hopeful to update later today with the financial results. With that out of the way, Cameron, why don’t you take the mic and give us a little bit of an overview on the quarter.
Cameron Groome: Sure thing. Thank you so much, Deborah, and thank you, everybody, for taking the time to spend with us this morning. These results, of course, are for our second quarter of fiscal 2024. That’s the quarter ended March 31, 2024. And we are very pleased to report strong results for the quarter. Our revenues were quite robust at $5.6 million for the quarter, a smidge over $5.6 million. This is, in fact, our best-ever order for product sales by a smidge and exceeds the previous high that was heavily weighted with DxTM sales to government. And there were no DxTM sales to government in the current quarter, but we beat that prior all-time record in spite of that. The overall sales were up quite strongly, a 34% increase year-over-year, driven by strength in, interestingly, both our antigens and test ingredients business and our quality assessment product, medical device business were both up strongly. Gross margins were acceptable. I think we could have done better if everything had clicked over perfectly in terms of manufacturing for the quarter, but at 52%, 53%, we were broadly satisfied with that. And really, dropping forward, we had good cost control on the selling, general and admin, R&D expenses and interest expenses. So with that level of revenues, very much in line with, I think, the loose guidance we provided that about $5 million in the quarter is our breakeven level for revenues with a reasonable product mix, and that approximately $0.15 of the dollar beyond that breakeven point has the potential to move to the bottom line with $377,000 in net earnings are about $400,000. It’s a 7% net margin for the company in the quarter. And I think given this particular level of revenues, that’s what we would hope to achieve with them. So I think, by and large, we’re pleased with the quarter. The combination of strong revenues and spending control led to that margin. And obviously, good free cash flow and balance sheet position as well. Maybe I can invite Jim to supplement those comments, and if there’s any further color you wanted to provide, Jim?
Jim Currie: Sure. Thanks, Cameron. Maybe just a few points. One of the things that – one of the areas that we saw some good strong growth, obviously, was in our antigens or test ingredients business, with over $4 million in sales in the quarter. And we’re seeing good, excellent growth coming from our agent distributor. Of note is the fact that we’ve actually, in the first half of this year, quadrupled what we had last year for the first half, and we’re up more than 50% from the second half of last year in terms of sales to that Asian distributor. So we’ve been talking about the fact that we’ve been starting to see a ramp up. We saw the start of the ramp-up in last year, and we’re seeing the fruits of that ramp-up in the first quarter – half of this year, and we’re expecting some strong performance from that distributor in the second half of this year as well. We had a really good strong mix of all products. Often we get margins and bottom line impacted by the mix of the products that we had. But we had contributions from all of our more significant products this quarter. We’ve got a good strong order backlog. We’re sitting at over $9 million in order backlog at the end of the half. Our cash position is still strong. We’ve got over $12 million to $13 million in cash and another $2 million in the credit facility. And we’ve also been using this cash in a couple of areas. One is in the purchase of capital equipment. So we added another $600,000 of capital equipment in the quarter, and that has been predominantly used for enhancing the equipment and adding equipment to further the growth in manufacturing. We also have used cash in share buyback program, and we’ve acquired close to 1.2 million shares in the first half of the year. We have added another sort of 100,000 or so in the last few months or 5 months as well. So overall, good strong financial performance, good strong balance sheet at this point in time.
Cameron Groome: And Jim, just to recap the cash level, I think you mentioned it quarter end?
Jim Currie: Yes, the cash position is $12 million to $13 million...
Ken Hughes: Perfect. Thank you.
Jim Currie: And this is, of course, illustrative of the capacity building we’ve been doing last little while. We’ve easily serviced the growth in the business with some new innovative products and invent processes and also operational excellence, and we have the capacity now to take it on from there.
Cameron Groome: I think these are great points to make. We are continuing meaningfully depleting the financial strength of the business. So we’re in a very strong financial and strategic position. And I think both of those are [indiscernible] for us at this stage. Our customers were seeing, as we’ve noted, a good surge in all categories, very strong and the test ingredients businesses, manufacturers demand that continues to increase for those critical products. And we’re also seeing very strong engagement and priming the pump for growth in our – even far greater growth in our caps business with strong relationships with the laboratory proficiency testing and accreditation agencies. That segment of the business continues to build very strongly as does the relationships with major test manufacturers, particularly point-of-care side, but also in laboratory medicine as well. And last, but not least, the clinical laboratories, we’re starting to see a greater – a more meaningful number of sales directly to some of the major clinical lab chains, which is nice to see as our name gets in there a little bit more from our regular participation in conferences. And we’re seeing revenues driven from that customer base as well. So I think we’re broadly – we’re certainly not complacent, but I think we are seeing evidence of real progress in the fundamentals of our business. A few things I’ll also mention, we’re certainly continuing, as Jim mentioned, on the physical [indiscernible] with the final [indiscernible] QC of products as well as for completion of automated vial filling [indiscernible] those initiatives, and as is our practice will be fulsome disclosures and those all are entirely complete. And we are also moving into novel – additional novel formats for our QAPs products. I’ll note the disclosures we made earlier in the spring, in March concerning the paraffin format, the tissue sample pneumatics, which starts to move us into controls in oncology, which is another important area that I think we’ll start to see revenues from over over the coming quarters and years, extending the expertise we’ve built in infectious diseases into other exciting new markets as well. So we’ll see that with product formats and test types also. So a lot of good things happening, and we’re making them happen while keeping the company in a very good position of financial strength.
Ken Hughes: I mean we’ve been deploying government grant funding and interest-free loans from government to build capacity, including automation, scale up and so on and so forth, and that’s been implemented and is now manifested in our ability to satisfy the market and continue with our growth. We have a number of labs coming online right now. And again, we have been two-third supported by external funding because we invest – reinvest our own monies to make sure they’ve been built going forward, and I think it’s going very well in that regard.
Cameron Groome: Yes. Very, very much so. Well, few of the – this is principally both [indiscernible] for the $5 million [indiscernible] of fiscal ‘24 for the record year of 2024. We’ll see how our Q3 and Q4 shakeout, but we certainly see a very strong progression of quarters as we move forward with our customers in building markets and advancing the values and speaking of which, another thing that we have been able to announce over the course of the spring is, of course, the Kinlytic CDMO engagement, which occurred in March as well, whereby our development partner, [indiscernible] has moved forward with engagement of a contract development and manufacturing and [indiscernible] to revitalize the main [indiscernible] of the drug substance. This is a very meaningful spend they are undertaking and arguably most critical stage to advancing that rice a critical contractor to engage. Ken, do you want to comment a little bit further on that as well?
Ken Hughes: Yes, sure. The CDMO that Microbix and [indiscernible], the commissions on is very sophisticated, and the work is going very well. We’re very pleased with their technical acumen and experience in this particular area. I don’t really see any problems associated with this. They clearly have a good handle on what we’re trying to achieve here. As Cameron correctly says that the production of the drug substance is the really – well, it’s the most significant part of the entire program. There’s no real risk associated with it, but there is a significant amount of expertise and our expertise is clearly there at the CDMO that we’ve commissioned. So we expect to move forward according to the plan we’ve disclosed previously. At this point in time, I don’t see any particular problem with that. We’re advancing quickly, and the technical – as I say, the technical acumen is very much in place and work is underway. And our relationship with Sequel and their financial backers is maintained as strong and it’s going very, very well. They have excellent technical expertise as well, and so, as I say, we’re just moving forward, and I don’t see any problems at this particular time.
Cameron Groome: Thank you, Ken. Yes, I think another thing I’ll mention is just driving in the – in these fields in the test ingredients business, [indiscernible] you are actually growing, purifying it in that the [indiscernible] organism to create tests [indiscernible] sensitivity and specificity and the innovations that we’ve produced [indiscernible] with the growth in demand in fact of novel techniques and technologies [indiscernible] driven by the scale of our staff demonstrates a very good [indiscernible] in the industry. And whether that is our range of high-risk HPV controls that’s taking us to the front [indiscernible] detection of the actual virus. This has been excellent for us. Our work in antimicrobial resistance tests and controlling those has been very perceived. More recently some of our work in mimicking tissue, infected tissue samples has been very well received as presented at a global conference in Scandinavia and additional work such as our work with room temperature stable controls for detection, molecular detection of H. pylori. Those of us in the business are aware of the discovery of H. Pylori as the cause for – excuse me. Thank you. Okay. Thank you. Jim was just alerting me that we’re having some Internet problems and that there is some stability of the feed. So I apologize if I am cutting in and out at all during this. The thing that I was mentioning was that in spite of this organism having been discovered a long, long time ago, there was – there were problems with the controls being inadequate that were preventing the full transition of molecular testing of HPV that we are now addressing and again, demonstrating leadership in this nature. Just if we’re bandwidth challenged, to interrupt, but it might be a good idea for Ken and Jim to turn off their cameras and...
Deborah Honig: Just love seeing you guys maybe shut down the cameras and hopefully, that helps with the audio?
Cameron Groome: Very good.
Deborah Honig: I will do mine as well.
Cameron Groome: Okay, sure. I’m all alone here now. Okay. Well, with that, Deborah, maybe we could break for some questions from our attendees. We’ve got a number of shareholders and representatives of the capital markets on the call, so delighted to have everybody and to address questions to the best extent we can.
A - Deborah Honig: Sounds good. Okay. First question was distributor stocking a significant factor in the quarter. How do you monitor distributor inventory levels?
Cameron Groome: Most of our sales continue to be direct. All of our – just making sure I don’t misstate myself here. But yes, most of our sales are direct with the exception of our antigen distributor into Asia. And because of the abruptness with which demand has resurged on the Ingredients business, certainly, all product that we’re shipping is immediately being sold through to cut to end users. So there’s definitely no element of channel stuffing in the test ingredients business. In our controls business, we have, the most part, our proficiency testing and lab accreditation agencies are taking product on a just-in-time basis for their regular program challenge events for the labs that subscribe to their services. And for other QAPs’ customers, we don’t see a significant amount of inventory going on, with the possible exception of validation lots generated prior to FDA registrations of assays, but those are relatively small production runs that were pulled through quite quickly on the approval of the assays. I hope that addresses the question.
Deborah Honig: I think so. We’ve got a couple of other questions that came in via e-mail. So I’m just going to switch over there. So first question, with QuidelOrtho withdrawing the 510-K submission for the Savanna virus respiratory test and developing a next-generation RVP4+ assay, that it expects to be commercially available during the 2024, ‘25 respiratory season, how much revenue do you expect to get from Quidel for the remainder of this year and next, and how much revenue from other caps customers in those two periods? And I apologize, I put that question, Cameron.
Cameron Groome: There’s a lot to unpack there. Okay. The – I’ve got to make certain that I’m maintaining the required levels of confidentiality from our interactions with QuidelOrtho, which is a disclosed customer of ours.
Deborah Honig: It’s a question in the Q&A box if you need to revisit...
Cameron Groome: Okay. Let me pull it up just for the purposes as well. Okay. Thank you. So QuidelOrtho, which is QDEL on NASDAQ, the fifth largest diagnostics company globally, has developed – just for those that may not have followed this as precisely as this question, has developed a very capable, affordable, or point-of-care PCR testing instruments. It’s about the size of the two slice toaster, maybe a smidge bigger, and fits a cartridge in about the size of the thick slice of toast into the front of it that can simultaneously test for as many as 16 different pathogens from one patient sample and can accept a few different formats of patient samples. So it’s a very, very beautifully designed assay and thus full PCR on the sample to generate those results. We are supporting the launch of all assays on that instrument. Thus far, there have been two assays in commercial – commercially available. One is a respiratory virus fourplex panel that is available in Europe. The other is a threeplex panel that is available in North America. QuidelOrtho had filed for a second-generation respiratory fourplex panel for North America for 510(k) FDA approval and then withdrew that asset. Obviously, and as noted in specifically in this question, from – presumably from Quidel disclosures, they have not sat idly and do not intend to intend – sorry, I’m just doing a double dance. They certainly don’t intend to not participate in respiratory testing. So they are developing, as noted in the question, RVP4+ assay for launch, and that also has fallen under our relationship with them and we’ll be supporting that. So there are other assays that Quidel has previously disclosed that it’s also moving forward with a full pace. And certainly, we expect that QuidelOrtho will achieve multiple FDA registrations for the planned suite of assays, which I believe they disclosed suite eight multiplex assays that QuidelOrtho is targeted for use on the Savanna instrument. They have noted that they do not expect revenues from the Savanna to exceed this sort of the 5% threshold for materiality. That’s a rule of thumb with their revenues of $2.8 billion. You can do the math on that. So while revenues may not be as significant for Quidel, they certainly continue to be significant for Microbix. And our 2024 budget is really about supporting QuidelOrtho with the development of novel multiplex controls for the Savanna and the validation. Of course, we don’t have anything in our budget for 2024 in relation to commercial launches. That will start to shake into our 2025 numbers as we see that. In spite of that, we’re still on track to achieve record revenues and earnings in fiscal 2024, make no mistake. So hopefully, that addresses that question.
Deborah Honig: Yes. And how much revenue from QuidelOrtho are you anticipating this quarter, Q3?
Cameron Groome: I’m not prepared to be that granular.
Deborah Honig: Okay. Here’s another audience question. Microbix expects meaningful growth in earnings in 2024, but with $200,833 million, $109 in earnings in the first half of 2024, that could mean meaningful losses in the coming two quarters does MVX not expect to be meaningfully profitable the next two quarters? That’s the first question there, Cameron.
Cameron Groome: Let me just look at that here. Yes, obviously, we had a fantastic first quarter and that was driven in part by the recognition of Kinlytic-related milestones. I think we demonstrated in the second, we’ve been quite transparent in the – in terms of where our breakeven point stands for the company from operating revenues, and Q2 demonstrates that quite clearly. Above $5 million in revenues. We should report some profits. Should revenues to be below $5 million in order, we would slip into small losses, but those would not be material and nor is that what we’re targeting. So I don’t see meaningful losses coming up in any future quarter for that matter. And quite to the contrary, we’re targeting meaningful profitability. The biggest question is as our customers achieve traction in markets where our products are directly tied in and as we’re continuing to build our customer base and our product line, we see those revenues growing quarter-to-quarter, not shrinking.
Deborah Honig: And how are your costs related to Kinlytic being covered? What is the timing of the $30 million in milestone payments? And are these payments then means that you’re being reimbursed for your Kinlytic costs incurred to advance the drugs? It’s the last question there, Cameron.
Cameron Groome: Yes. The big purpose – I mean, we’re – big purpose of partnering Kinlytic was to not be betting the company on the outcome of a single project or asset. Microbix has a very healthy business in the diagnostics field. And as we grow that, it did not make sense to us to jeopardize the overall the company by spending, and we’re talking about big numbers. We’re talking on either side of $10 million for the CDMO work that’s being undertaken now. So that would take our entire treasury or just that stage of the project. So a whole purpose for us was to cover those costs associated with Kinlytic and have a partner pay for them. So, certainly our partners are paying for the direct costs associated with that project and they are also reimbursing Microbix for the technical support and other support that we are providing for the project. So, there is no drag on Microbix from Kinlytic, it is all upside for us. And there are some milestones associated with approval of the product and associated with sales thresholds. So, again, as we have disclosed, right now, we will have two to three disclosures a year associated with Kinlytic these different milestones like the CDMO contract signing are achieved. But we will be looking at having the project make meaningful progress before we start seeing additional big money milestones. And those big money milestones are coupled to big money royalty. So, we look at this as a supercharger or a turbocharger on the earnings we expect to be generating with the engine of our diagnostics business. And, Ken you jump in, so I think you are champing at the bit to make a comment.
Ken Hughes: Just to comment on that and obviously the group now can see what my favorite rock band is based on the picture that went up there. In terms of Kinlytic, our expenses are fully covered in real time to support this group. Obviously, we have deep expertise in the scientific manufacturing and regulatory side and we provide a lot of advice in that regard. Obviously the CD always doing the lab work, but we have to – we are over-viewing that and providing counsel on that and the costs of doing that and travel and everything else is fully reimbursed in real time and has nothing to do with subsequent milestones. In terms of the timeline, the timeline has not changed as previously disclosed. As I said earlier, everything is going really well and as it should and we expect to realize revenues at the time we said we would.
Cameron Groome: Great. Thank you, Ken, hang on. Look, I see a pointy question there, which you will be happy, which you will be happy to answer it? It says, except for stronger Q1 QAPs, revenues appear to have been stuck in a range per quarter for about 2 years to 2.5 years. The range described $1.1 million to $1.6 million order. Why aren’t we seeing more robust and consistent growth in this business line? So, it’s a great question. For starters, I will just point out that QAP sales for the first quarter of fiscal 2024 actually exceeded there, the range described, there were $2.2 million. So, QAP sales in Q1 didn’t break out above the previous range. We have seen in these back a little bit in Q2. We see very much in and inevitability to point of care technology being available and made widely available for more widely available for use since supporting. Access to care and prompt an accurate diagnosis, the timing of that is where you know we are all getting a bit frustrated. Our – some of our major customers such as QuidelOrtho with in Savannah have seen a meaningful delay of about 18 months over this timeframe, they had originally expected, and we are a little bit caught up with. As tests roll out, the math becomes extremely compelling and we are just making sure that we are positioned to support all of these companies. It’s certainly not just QuidelOrtho. Please be disabused of that notion that we only have one such customer being developed, that is a relationship that formalized to the extent where we can publicly announce it. But there are other relationships we are building that have not been announced that are with very prominent companies in the field as well. So, we see this coming, they see it coming. We are also getting very good traction in the clinical lab side with our route. I mentioned earlier HPV controls, but also with our supporting installation of new instruments with our onboard kits is very popular, becoming meaningful revenue source as well. So, we see a lot of opportunities in front of us and it’s a question of when not whether in our minds.
Deborah Honig: Okay. And one last question. So, congrats on the continued excellent execution, with respect to the NCIB, is the company still entertaining block sales for motivated sellers?
Cameron Groome: Absolutely, yes. Our NCIB, we are able to, of course there are specific rules around normal course, issuer bids or share buybacks if there isn’t around. Well known, for example, we cannot buy an uptick. We have to wait for a downtick. We are allowed to buy a certain amount of shares per day and buy that whenever we can. And we are able to participate in one block trade per week and we will react two blocks. So, our, the investment dealer managing our normal course issuer bid is Pacific International Securities. So, anybody who is may want to sell a block, we are absolutely a buyer. Jim mentioned, we bought 1.2 million, 1.3 million shares back since restarting the normal course assure bid in December of 2023. And our objective is to buy back well in excess of the number of shares potentially issuable in association with option plan. So, we would certainly like to buy back 3 million, 4 million and 5 million shares if we can. So, we are active in that NCIB and want to be more active in that NCIB.
Deborah Honig: Excellent. But that’s all I see for questions, Cameron, is there anything you wanted to talk about today that we didn’t get to.
Cameron Groome: Yes, I think Deborah, the message being we are running this company as a professional business. We are engaged in a very material way with many major companies in the diagnostics industry. And there is a slide I have added in our corporate deck, where there are a few slides where we see the Microbix M in the horizontal position and I will just share to share that actually for fun. And I think this really illustrates a bit of where we are between position between our customers and our markets. Just see if I can get this to go full screen here. There we go. We have our different categories of customers. We have the external quality assessment of PT agencies. We have test makers we engage with. We have clinical labs that we are building. And all of these customers are trying to access different markets for whether this is for research use only of lab developed tests, whether its IBD lab tests, whether it’s point of care lab tests. And what we are finding is between our customers and their target markets, there is a need for the products that we are providing the need for our antigens and need for our QAPs and for reagents. And this has put us in a very strong position to solve customer needs, and build our revenues and profitability by doing so. So, all of this is about making sure tests work, whether it’s the ingredients, whether it’s our QAPs, whether it’s the agents that we are selling in support of those. All of this is critical to the industry and we are demonstrating the critical role. I was at a customer meeting not long ago. Where we were discussing a project with them and we were asking this major international company. There are different ways we could solve issues you need us to address. How would you like to approach it, there are different options and they said well you tell us, you were the experts. And I found that very gratifying to have a global multinational very well respected and recognizing Microbix, its expertise in this field. And I think as we continue to add to our product lines and our customers and our basic revenues, we will see that recognized more broadly in equity capital markets as well.
Jim Currie: I think this slide come in just short is really great, really illustrates what we are and why we have been doing what we are doing. It’s clear that we have a lot of opportunities of customers coming through to address their own markets. The site makes the point that we don’t compete with our customers and so we don’t make tests for instances as has been said, we make everybody’s tests better. And we are agnostic to the test which addresses the market, we help, we help them all. It also speaks to why we are building capacity and the opportunities going forward and being successful and gone and implementing the new electronic quality management system, the new enterprise resource planning software to make sure we have the capacity and the scalability, the service those markets going forward and being ready for the opportunities that are clearly coming. And I think it’s really well illustrated in that slide. And everything we presented today despite the dodgy WiFi is illustrative of that trajectory and that goal. And that slide summarizes the opportunity going forward and we are pursuing with all vigor and I wanted to say we have a great team here which are continually updating processes and developing new products, validating them to be regulatory and quality compliance. We are just going to continue execute in that regard and their hope the shareholders. See, what we are doing that and we are going to build value through doing that and being consistent in doing that.
Cameron Groome: Yes. And there was a few – there was a few interesting trends going on as well that I think are some good tailwinds for us additional to that. One is of course the transition in Europe from the in vitro diagnostic directives IVDD to the in vitro diagnostic regulations or IVDR. And this is putting a heightened level of rigor requiring a heightened level of rigor and subjecting companies in our sector to a higher level of scrutiny for their products. And that’s a standard we are committed to meet and seed, but some levels of competition will fall away as a result of that. And we are also seeing similarly in United States, the FDA has just issued final guidance and decisions on how they will implement increased scrutiny on laboratory developed tests, which are often used in lieu of formally proved assays that have gone through the 510(k) or PMA processes. And the FDA is saying, these loopholes weren’t intended for use in millions and 10s of millions of tests. And we are going to start to put a stop for time, and that’s going to bring a greater requirement for the quality monitoring, quality assessment of assays in the United States and Europe. And I think positions us very well to help companies and to make sure that tests actually are accurate, that we are avoiding false negatives and false positives. It’s important work. Its work we are demonstrating. There is a market for and we are going to be growing with our customers across their portfolios with new products.
Jim Currie: That’s regulatory compliance teams all over these changes and is ahead of the curve as these new regulations come into play.
Cameron Groome: Very good, Jim. What comments would you want to conclude with about our second quarter?
Jim Currie: I think Cameron, it’s indicative of the work that we have been doing over the last couple of years in terms of getting all of our business areas firing on all cylinders. And I think the emphasis on building the antigen business as well as the QAPs business. And that was interesting in that question. In the QAPs business about, sort of indicating rather level growth, but we are looking at the QAPs business this year to grow by 40% and I don’t see that as limited growth. We do see some additional upside to the QAPs business. But we are also seeing it from the antigen business. And when we are looking at over $6 million in the antigen business in the first half of the year and we have got some excellent strong order backlog for the test ingredients antigen business in the second half and even into next year. So, we have got – and Ken has identified the fact that we have invested in our infrastructure that will allow us to grow both businesses in the facilities that we have got that we are expanding upon right now. So, the outlook for the business, not just Q2, it was a strong quarter, but we are looking for the continued growth and the continued strength and profitability of this business as we go into 2025 as well.
Cameron Groome: Thank you. Thank you, Jim. I think those are great points. And we are running a very serious business and having state-of-the-art systems, Jim and the team have successfully transitioned to a new ERP system. We are continuing work for full digital volume management systems and rolling that out across the organization. And we have done all of this while maintaining profitability. So, we are positioning – we positioned the company to capture some serious growth and that’s what we are doing and what we are continuing to execute on. So, thank you everyone for your interest and support and know that we take it very seriously and are committed to building value. And everyone on the call here as well as the management team is owns shares in addition to being incented with participation in our option plan. So, our interests really are aligned with shareholders.
Deborah Honig: That’s great. Well, congrats on a great quarter and a great start to the year. You must be happy laying that foundation for growth for the future as well. Market seems like, stock is up $0.02 since we started the call, and up 12% on the day, so hopefully that momentum continues. Thank you all for taking the time to have this webinar and thanks to the investors that participated and for your questions. If anyone has any follow-up questions, feel free to reach out or if you would like a one-on-one meeting, also feel free to reach out and we can get that arranged for you.
Cameron Groome: Absolutely. Thank you everybody.
Deborah Honig: Yes. Have a great day.
Jim Currie: Hey guys.
Cameron Groome: Thanks. Take care everybody. Bye.